Operator: Hello and welcome to SuRo Capital's Fourth Quarter and Fiscal Year 2024 Earnings Call. My name is Melissa, and I will be your coordinator for today's event. Please note, this conference is being recorded and for the duration of the call your lines will be on listen-only. However, you will have the opportunity to ask questions at the end of the presentation. [Operator Instructions] I'll now turn the call over to Jackson Stone. Please go ahead.
Jackson Stone: Thank you for joining us on today's call. I'm joined today by the Chairman and Chief Executive Officer of SuRo Capital, Mark Klein; and Chief Financial Officer, Allison Green. Please note that a slide presentation corresponding to today's prepared remarks by management is available on our website at www.surocap.com under Investor Relations, Events and Presentations. Today's call is being recorded and broadcast live on our website, www.surocap.com. Replay information is included in our press release issued today. This call is the property of SuRo Capital and the unauthorized reproduction of this call in any form is strictly prohibited. I would also like to call your attention to customary disclosures in today's earnings press release regarding forward-looking information. Statements made in today's conference call and webcast may constitute forward-looking statements, which relate to future events or our future performance or financial condition. These statements are not guarantees of our future performance or future financial condition or results and involve a number of risks estimates and uncertainties, including the impact of any market volatility that may be detrimental to our business, our portfolio companies, our industry and the global economy that could cause actual results to differ materially from the plans, intentions and expectations reflected in or suggested by the forward-looking statements. Actual results may differ materially from those in the forward-looking statements as a result of a number of factors, including, but not limited to, those described from time-to-time in the company's filings with the SEC. Management does not undertake to update such forward-looking statements unless required to do so by law. To obtain copies of SuRo Capital's latest SEC filings, please visit our website at www.surocap.com or the SEC's website at sec.gov. Now I would like to turn the call over to Mark Klein.
Mark Klein: Thank you, Jackson. Good afternoon. I would like to thank everyone for joining the call and thank our investors for their continued support. We are excited to share the results of SuRo Capital's fourth quarter and fiscal year 2024. We're especially excited to welcome the many new participants on the call. With that in mind, we'll start with a quick history of SuRo before diving into why we believe our portfolio is at a major inflection point. Based on the thesis that companies would stay private longer, we started this firm 14 years ago with the objective of providing access to market leading private companies before they go public. That thesis has played out. When SuRo was founded, there were fewer than 100 unicorns. Today, there are roughly 1,500 unicorns, 50 decacorns and a handful of centacorns. Over this time period, we have owned a number of marquee technology companies, including Facebook, Twitter, Snaps, Spotify, Lyft, Dropbox, Palantir and Coursera, just to name a few. We've enjoyed many robust market cycles, including mid-2020 to early 2022 when we monetized over $250 million of our portfolio assets and declared and paid a total of approximately $9 per share in distributions. As with all BDCs, we are required to distribute functionally all of our net realized gains. Consistent with our past practices, we will be transparent and communicative about our dividend strategy. Today, we believe we are looking at another one of those highly compelling moments in the market. The next wave of anticipated IPOs in our portfolio include CoreWeave, Canva, Whoop, Liquid Death, Lime, Vast Data and at some point in time OpenAI. This is as large of a pipeline of pre-IPO businesses as we can recall in the fund's history. We believe the IPO window is reopening and this is an incredibly exciting time for our portfolio as we approach potential monetizations. We are already seeing the exciting IPO activity built in our portfolio. On March 3rd, CoreWeave filed its S-1 ahead of what has been widely reported as one of the most highly anticipated IPOs of the year. According to a Bloomberg report, CoreWeave's IPO is expected to target a valuation greater than $35 billion and is seeking to raise approximately $4 billion. CoreWeave's perspectives indicates the company generated $1.9 billion in 2024 revenue, over eight times greater than in 2023. According to a report from the information, CoreWeave expects that tremendous growth to continue, forecasting $8 billion in 2025 revenue. Subsequent to CoreWeave's IPO filing, the company announced that it signed a significant contract with OpenAI. According to a company press release, CoreWeave signed a five year contract with OpenAI worth up to $11.9 billion a deal that would also give OpenAI a $350 million equity stake in CoreWeave. Additionally, the company announced it reached an agreement to acquire Weights & Biases, a leading AI developer platform. The acquisition extends CoreWeave's cloud platform by enabling an end-to-end experience for customers, enhancing functionality for the world's leading AI labs and enterprises to build, tune and deploy AI applications. According to a report from the information, CoreWeave is acquiring Weights & Biases at a $1.7 billion valuation. As previously announced, during the fourth quarter, we made an additional $5 million follow-on investment in CoreWeave Series A Shares via a secondary transaction. That investment brought our total basis in CoreWeave to $25 million making CoreWeave the single largest investment in our fund's history. With its best-in-class cloud infrastructure, we believe CoreWeave will continue its exponential growth and capitalize on accelerated AI adoption. We are pleased to see the company's tremendous success to date and look forward to the company's imminent IPO. This is exactly the type of pre-IPO access we seek to provide our shareholders. I will now discuss our other AI infrastructure investments, OpenAI and Vast Data. Starting with OpenAI. As previously announced, during the third quarter, we made a $17.5 million investment in OpenAI through the Class A interest of ARK Type One Deep Ventures Fund. According to a Wall Street Journal report last month, as well as many other news sources, OpenAI is in talks to raise $40 billion at a $300 billion valuation. To put this into the context of our portfolio, if a financing were completed at this valuation, we anticipate the value of our OpenAI investment would be approximately double. In addition to this financing, it was announced that OpenAI is a lead partner in the Stargate Project. According to the company's website, the Stargate Project intends to invest $500 billion over the next four years, building new AI infrastructure for OpenAI in the United States. Turning to the business itself since our last update. OpenAI has made significant strides in both its consumer and enterprise offerings. The company recently launched GPT-4.5, an advanced multimodal model that enhances speed, accuracy and reasoning capabilities across text, image and audio inputs. OpenAI's growth has been remarkable. According to a report from the information, OpenAI expects revenue to more than triple this year from $3.7 million to more than $12.5 million and expects 2026 revenue to reach $28 billion. According to a Reuters report, last month OpenAI had more than 400 million active users. For comparison, according to a report from the information in January 2024, OpenAI had approximately 110 million active users. According to a Reuters report on the enterprise side, OpenAI has more than 2 million paying business customers, more than double the number of business customers it had in September. As previously announced, during the quarter, we made a $12 million investment in Vast Data through the membership interest of IH10 LLC and SPV whose sole portfolio asset is interest in Vast Data's Series B Preferred Shares. Vast Data is a data management solution for leading AI companies. Vast has emerged due to an inability of legacy data management solutions to serve customers building complex AI applications. For several decades, enterprise data software was built around the concept of tiers. Tiered storage is the idea that data is segmented based on its importance to daily operations. However, AI applications need access to all data at once, rendering the tiered storage system increasingly obsolete. Vast collapses the tiered storage model by offering all-flash storage. All-flash storage allows all data in a pipeline as opposed to data in a specific tier to be accessed instantly. This is especially valuable for companies that train AI models to produce outputs. Since our last update, Vast has continued to expand its presence in the AI infrastructure space through key partnerships and new product innovations. Recently, the NHL selected Vast Data as its data infrastructure partner to support NHL EDGE, the league's advanced analytics platform. The NHL will leverage Vast Data to power real-time tracking of players and the puck, generating new insights for teams, broadcasters and fans. Additionally, Vast Data recently announced InsightEngine, a next generation AI powered analytics platform built in collaboration with NVIDIA. InsightEngine enables organizations to analyze large datasets instantly, leveraging accelerating computing power to power real-time decision making. Vast Data has quickly cemented itself as a dominant AI infrastructure provider. According to a company press release at the end of 2023, Vast Data has reached over $200 million in ARR. Additionally, the company had been cash flow positive for the last three years. According to PitchBook, Vast Data has raised almost $400 million in equity financing from such investors as NEA, General Atlantic, TPG and others. We believe Vast Data is poised for growth as a leading data management provider for the AI universe. Before highlighting additional updates in our portfolio, I'd like to turn to our fourth quarter results. We ended the quarter with a net asset value of $157.6 million or $6.68 per share. Please turn to slide 10. SuRo Capital's top five positions as of December 31st were CoreWeave, which includes our $15 million investment in CW Opportunity 2 LP and our aggregate $10 million follow-on secondary investments in CoreWeave. OpenAI through our investment in ARK Type One Deep Ventures Fund, Learneo, Blink Health and Whoop. These positions accounted for approximately 44% of the investment portfolio at fair value. Additionally, as of December 31st, our top 10 positions accounted for approximately 74% of the investment portfolio. As of year-end, our liquid assets totaled approximately $23.6 million representing 10% of our gross assets. Continuing with our broader portfolio, in December, ServiceTitan priced its IPO at $71 per share above the anticipated range, raising approximately $625 million. It closed the first day of trading at $101 per share, reflecting a 42% increase. As of today, ServiceTitan stock closed above $85 per share, well above our cost basis. We are pleased with ServiceTitan's strong public market debut, which we expect to be the first of several IPOs in our current portfolio. As is typical, we have a 180 day lockup period from the IPO date on our ServiceTitan public shares. Turning to Canva. As previously discussed, Canva is an online productivity design software and collaboration platform with a mission to empower everyone in the world to design. According to the company's website, as of December, Canva had more than 220 million monthly users in over 190 different countries, up from 200 million monthly users in October. According to the same source, Canva hit the milestone of 30 billion designs created by the Canva community. That is over 38.5 million designs now created per day. On the enterprise side, the company announced that more than 95% of the Fortune 500 is using Canva to create, collaborate and communicate. According to a CNBC report, Canva is now generating approximately $2.5 billion in annualized revenue. As previously discussed, the company reported having completed several secondary transactions at a $32 billion valuation, up from the $26 billion valuation it received in its larger company tender in April. We made our $10 million investment in Canva on similar terms as the reported April company tender. Moving on to Whoop. Subsequent to year-end, we executed a $1 billion follow-on investment in Whoop via a safe note, bringing our total cost basis to $11 million. We made our initial $10 million investment in Whoop in Q2 2022 via secondary transaction. Since our initial investment, Whoop has solidified its position as a leader in the wearable fitness and performance tracking space. Last year, Whoop expanded into several key international markets, including the Middle East, where it has seen strong consumer adoption and growing brand recognition. Whoop has also continued to distinguish itself as the go-to wearable for elite athletes and high performance individuals. And a testament to its credibility at the highest level of sports, Cristiano Ronaldo became a global brand partner, elevating Whoop's presence in elite performance training. Additionally, Patrick Mahomes wear Whoop during the Super Bowl, showcasing the device in tracking and optimizing real-time athletic performance on the biggest stage in sports. I would now like to provide an update on our portfolio company Liquid Death. Last month, Liquid Death aired its first national Super Bowl advertisement, marking a significant milestone in the company's marketing strategy. In addition to this major marketing initiative, since our investment, Liquid Death has expanded its product line with the introduction of soda-inspired sparkling waters. The new flavors Killer Cola, Doctor Death and Rootbeer Wrath offers consumers a unique twist on soda flavors, aligning with the media brand's edgy strategy. The addition of soda flavored sparkling water adds to the ever growing portfolio of teas, sparkling waters and still waters. These developments reflect Liquid Death's commitment to innovative market and product diversification, reinforcing its position as a disruptive force in the beverage industry. We are excited about Liquid Death's trajectory and remain confident in its potential to further disrupt the beverage market. The company's commitment to creating marketing and product innovation reflects its ability to stand out in a competitive market and we look forward to supporting its continued success. Please turn to Slide 15. Turning to our SPAC investments. We are excited to report the full exit of our position in Oklo during the fourth quarter, achieving a significant return of over 20 times our initially invested capital in AltC Sponsor LLC, the sponsor of AltC Acquisition Corp. Additionally, we exited all of our PublicSquare common shares at a significant profit. Subsequent to year-end, Colombier Acquisition II announced it entered into a definitive business combination agreement. The transaction is expected to close this summer. These examples are all testaments to the success of our SPAC sponsor strategy we established several years ago. Allison will provide additional detail on our public positions and investment monetizations in her remarks. Before I turn the call over to Allison, I would like to reiterate how excited we are about the positions of our portfolio. Across AI infrastructure and applications and consumer goods and services, our portfolio is packed with market leading companies on the verge of IPOs. Within AI infrastructure, CoreWeave, OpenAI and Vast Data represent a quarter of gross assets and 37% of our net assets. In 2024 alone, we invested nearly $55 million in AI infrastructure. Within AI adjacent companies, Canva, ServiceTitan, Whoop, Blink Health and Locus Robotics representing another 29% of our gross assets. Within our consumer vertical, Liquid Death and Lime are two dynamic leading brands with businesses at scale for IPOs. Altogether, these investments give our investors access to some of the most highly anticipated pre-IPO names in the private markets. Thank you for your attention. And with that, I will hand it over to Allison Green, our Chief Financial Officer.
Allison Green: Thank you, Mark. I would like to follow Mark's update with a more detailed review of our fourth quarter and financial results as of December 31st, as well as a brief highlight of activities subsequent to year-end to date. This will include our investment activity, an update on our current 6% notes due 2026, their repurchase the 6.5% convertible notes due 2029 and current liquidity. As Mark mentioned, during the fourth quarter, we completed a $12 million investment in the membership interest of IH10, LLC. IH10, LLC is an entity whose sole portfolio asset is interest in Vast Data's Series B Preferred Shares through an SPV. Additionally, during the fourth quarter, we made a $5 million follow-on investment in CoreWeave's Series A Preferred Shares through a secondary transaction. Aggregated with a $15 million investment in the Class A interest of CW Opportunity 2 LP an SPV for which the Class A interest is solely invested in the Series C Preferred Shares of CoreWeave Inc. and the $5 million follow-on investment in CoreWeave's common shares through a secondary transaction, both made earlier this year, our current aggregate exposure to CoreWeave currently stands at $25 million on a cost basis. Subsequent to year-end, we completed a $1 million follow-on investment in Whoop via a safe note, bringing our aggregate to date investment in Whoop to approximately $11 million and an aggregate additional $300, 000 follow-on investment in Orchard Series 1 Senior Preferred Shares and safe note, bringing our aggregate to date investment in Orchard to approximately $12.8 million. In November, we exited our position in Oklo following the expiration of our lockup restrictions. We received the Oklo public common stock following their successful merger with AltC Acquisition Corp, in which we invested approximately $250,000 in that SPAC sponsor. Upon the sale, we received proceeds of approximately $5.1 million resulting in a net realized gain on the investment of approximately $4.8 million. During the fourth quarter, we continued to exit our position in public common shares of PublicSquare and have fully exited the position as of December 3rd. We received the PublicSquare public common stock and public warrants following their successful merger with the first Colombier SPAC, in which we invested approximately $2.6 million in that SPAC sponsor. During the fourth quarter, we sold the remaining 1,616,187 PublicSquare common shares for approximately $5.3 million net proceeds resulting in a realized gain of approximately $4 million. Additionally, during the fourth quarter, we continued to monetize our holdings in the public warrants of PublicSquare and sold 500,000 PublicSquare warrants for approximately $539,000 in net proceeds resulting in a realized gain of approximately $324,000. To-date, we have sold 1,976,032 public common shares and 903,963 public warrants of PublicSquare for approximately $7.3 million in net proceeds and resulting realized gain to date of approximately $5.3 million. Finally, during the quarter, we sold 125,000 public common shares of Forge resulting in net proceeds of approximately $130,000 and a realized gain of approximately $14,000 and we received a distribution of approximately $143,000 related to our investment in True Global Ventures 4 Plus. Please turn to Slide 16. Segmented by seven general investment themes, the top allocation of our investment portfolio at year-end was to artificial intelligence, infrastructure and applications, representing approximately 28% of the investment portfolio at fair value. Software-as-a-Service and Applications and Consumer Goods and Services were the next largest categories with approximately 24% and 14% of our portfolio, respectively. Approximately 13% of our portfolio was invested in Education Technology companies and the Logistics & Supply Chain category accounted for approximately 11% of the fair value of our portfolio. Financial Technology & Services accounted for 8% of the fair value of our portfolio and SuRo Sports accounted for 2% as of December 31st. Please turn to Slide 17. I'd like to provide more detail on the note repurchase program for the 6% notes due 2026 and the issuances of our 6.5% convertible notes due 2029. On August 06, 2024, SuRo Capital's Board of Directors approved a discretionary note repurchase program, which allows the company to repurchase up to $35 million of our 6% notes due 2026, exclusive of any applicable fees through our open market purchases, including block purchases in such manner as will comply with the provisions of the Investment Company Act of 1940 as amended and the Securities Exchange Act of 1934 as amended. During the quarter ended December 31st, 2024, we repurchased an additional 203,168 of the 6% notes due 2026 under the note repurchase program. As of December 31st, we had repurchased 1,213,304 of the 6% notes due 2026 under the note repurchase program. Subsequent to year-end through today, we repurchased an additional 199,990 of the 6% notes due to 2026 under the note repurchase program. To-date 1,616,462 or approximately $35.3 million in aggregate principal dollar amount of the 6% notes have been repurchased for approximately $35 million resulting in the total use of the authorized available funds. Now moving on to the 6.5% convertible note issuance. On August 06, SuRo Capital entered into a note purchase agreement by and between the company and a private purchaser, pursuant to which we may issue up to a maximum of $75 million in aggregate principal amount of 6.5% convertible notes due 2029. Pursuant to the note purchase agreement, on August 14th, we issued and sold and the purchaser purchased $25 million in aggregate principal amount of the convertible notes, also referred to as the initial notes. Under the note purchase agreement, upon mutual agreement between the company and the purchaser, we may issue additional convertible notes with the same terms as the additional notes for sale in subsequent offerings to the purchaser, which we refer to as additional notes or issue additional notes with modified pricing terms, which we refer to as new notes. In the aggregate for both the additional notes and the new notes up to a maximum of $50 million in one or more private offerings. Interest on the convertible notes will be paid quarterly in arrears on March 30th, June 30th, September 30th and December 30th at a rate of 6.5% per year. The convertible notes will mature on August 14, 2029 and may be redeemed in whole or in part at any time or from time-to-time at our option on or after August 06, 2027, upon the fulfillment of certain conditions. The convertible notes will be convertible into shares of our common stock at the purchaser's sole discretion at an initial conversion rate of 129.0323 shares of our common stock per $1,000 principal amount of the convertible notes, subject to adjustments and limitations as provided in the note purchase agreement. The net proceeds from the offering of convertible notes will be used to repay outstanding indebtedness, make investments in accordance with our investment objective and investment strategy and for other general corporate purposes. The note purchase agreement includes customary representations, warranties and covenants by the company. On October 09, 2024 pursuant to the note purchase agreement, we issued and sold and the purchaser purchased $5 million in aggregate principal amount of additional notes. Subsequent to year-end, pursuant to the note purchase agreement, on January 16, we issued and sold and the purchaser purchased an additional $5 million in aggregate principal amount of the additional notes. The total $10 million additional notes are treated as a single series with the initial notes and have the same terms as the initial notes. The additional notes are fungible and rank equally with the initial notes. Upon issuance of the most recent additional notes on January 16, 2025, the outstanding aggregate principal amount of our 6.5% convertible notes to 2029 became $35 million. Please turn to Slide 18. We ended the fourth quarter and fiscal year 2024 with an NAV per share of $6.68 which is consistent with our financial reporting. The decrease in NAV per share from $6.73 at the end of Q3 was primarily driven by a $0.22 per share decrease from the net change and unrealized appreciation of our investments, a $0.16 per share decrease due to net investment loss and a $0.06 per share decrease from the impact of stock-based compensation during the quarter. The decrease in NAV per share was offset by a $0.39 per share increase resulting from net realized gain on our portfolio investments during the quarter. Regarding our liquidity as of year-end, we ended the year with approximately $23.6 million of liquid assets, including approximately $20 million in cash and approximately $3.6 million in unrestricted public securities. The $14 million of public securities subject to lock up or other sales restrictions as of year-end are not included in this balance. I'd like to conclude with some notes on our share repurchase program. As Mark mentioned earlier, SuRo Capital is committed to initiatives that enhance shareholder value. Accordingly, as previously announced, on October 29th, our Board of Directors authorized a $4.3 million expansion to the share repurchase program to $64.3 million and an extension of the share repurchase program through October 31st, 2025. Since the inception of the share repurchase program in August 2017, we have repurchased a total of over 6 million shares of our common stock for a total deployment of approximately $39.3 million of the $64.3 million authorized by the Board. Approximately $25 million remains authorized under the share repurchase program that is now set to expire on October 31st, 2025. At December 31st, 2024, there were 23,601,566 shares of the company's common stock outstanding. Presently, there are 23,551,859 shares of the company's common stock outstanding. That concludes my comments. We would like to thank you for your interest and support of SuRo Capital. Now I will turn the call over to the operator to start the Q&A session. Operator?
Operator: Thank you very much. [Operator Instructions] And we'll go ahead and take our first question from Brian McKenna at Citizens Bank. Please go ahead.
Brian McKenna: Thanks. Hope everyone is doing well. I know there's a lot to be excited about looking at the portfolio today, specifically related to some of the recent investments you made and then also just the pipeline for some of these IPOs. But NAV did decline 16% in 2024. So what's the internal base case expectation for NAV growth in 2025? And then is there a way to think about how much of the legacy portfolio could see some additional markdowns from here?
Mark Klein: Thanks, Brian. Appreciate it. We don't typically give guidance on a go forward NAV because that would require us to understand where things will be valued at the end of the year. I think there's some math you could do anyhow. If you look at where our current portfolio is marked, look at where the CoreWeave anticipated range would be and where it ultimately trades, given the size of that investment, you can certainly make some assumptions about where that will end. The same with OpenAI as we did and we discussed in our opening remarks. As to the rest of the portfolio, I think that's really hard to tell. Obviously, recent market volatility probably would make it even harder to sort of sort that. But there is some simple math around a couple of our names that would at least give you an indication of where we think NAV is now. In respect to further markdowns in the portfolio, our largest and we've discussed it on this call and discussed it with investors has been Learneo. And we have marked Learneo broadly all the way down or close to where the preference is in the Learneo capital stack. And that's been the biggest weight on our portfolio on the downside. Hopefully that's helpful.
Operator: Thank you. Our next question is from Marvin Fong with BTIG. Please go ahead.
Marvin Fong: Great. Thanks for taking my questions. And your opening remarks are very comprehensive. So I thought I would just kind of ask on the capital structure. So you've issued a like amount of 6.5% notes, as you've repurchased the 6% notes. And now that you've repurchased your full authorization of the 6% notes, should you kind of think about your appetite for on the converge structure as basically set now or would you consider issuing additional notes on the 6.5% to increase your cash on hand and add to your investable assets? Thanks.
Mark Klein: Thanks, Marvin. As you've noted, we have retired, in Allison's remarks, $35 million of our 6% notes that come due at the end of next year. We have issued a like kind amount of the convertible notes that carry 6.5% coupon that are convertible at $7.75 which was 104% premium when issued to our stock price at the time. And so our debt number has stayed the same. At the present time, we're comfortable with that much that kind of leverage on our existing portfolio. So I would not anticipate at the present time issuing any more convertible securities against our existing portfolio. We're comfortable with our capitalization as it is right now.
Operator: Thank you very much. And we do have a follow-up question from Brian McKenna of Citizens. Please go ahead.
Brian McKenna: Okay, great. Thanks for the follow-up. Mark, I believe you mentioned that the number of pre-IPO companies in the portfolio today is the largest it's ever been. So what's the total dollar amount of these investments? And then is there any way to think about what percent of this part of the portfolio can make it to the public markets over the next year?
Mark Klein: Great question. So, well, I'm pretty hopeful that CoreWeave makes it to the public markets this month. So that would be a large one. I think some of the names that may come throughout the year are Lime, which has made it very clear that they want to come public. Canva may come public by the end of the year. I think Liquid Death is sometime earlier next year. I think that Vast has been mentioned many times as a public company this year, but they're pretty quiet about it. So that's broadly I mean, right now, we can see, we clearly have visibility to CoreWeave. I think all else is sort of up to where markets are and how excited people are to actually delve into the private markets. But the names that we listed earlier are the ones that are within sometime between the end of this year, early part of next year that we think of an opportunity to come public.
Operator: Thank you. I would like to turn the call back over to Mark Klein for any closing remarks.
Mark Klein: Well, thank all of you for joining our call. We really do feel this is an amazingly exciting time despite the extreme volatility in the public markets. We look forward to the CoreWeave IPO. We look forward to some of our other companies and all the exciting developments within them. Thank you again for your ongoing support. Feel free to reach out to us through the IR portal, if there's any further questions or any follow-ups you might have. Again, thank you everybody very much.
Operator: Thank you very much. Once again, that does conclude today's conference. You may now disconnect.